Operator: Good day, ladies and gentlemen, and welcome to the RioCan Real Estate Investment Trust Fourth Quarter 2024 Conference Call and Webcast. As a reminder, this conference call is being recorded. I would now like to turn the conference over to Ms. Jennifer Suess, Senior Vice President, General Counsel, ESG and Corporate Secretary. Ms. Suess, you may begin.
Jennifer Suess: Thank you, and good morning, everyone. I am Jennifer Suess, Senior Vice President, General Counsel, ESG and Corporate Secretary of RioCan. Before we begin, I am required to read the following cautionary statements. In talking about our financial and operating performance and in responding to your questions, we may make forward-looking statements, including statements concerning RioCan's objectives, its strategy to achieve those objectives, as well as statements with respect to management's beliefs, plans, estimates and intentions and similar statements concerning anticipated future events, results, circumstances, performance or expectations that are not historical facts. These statements are based on our current estimates and assumptions and are subject to risks and uncertainties that could cause our actual results to differ materially from the conclusions in these forward-looking statements. In discussing our financial and operating performance and in responding to your questions, we will also be referencing certain financial measures that are not Generally Accepted Accounting Principle measures, GAAP, under IFRS. These measures do not have any standardized definition prescribed by IFRS and are therefore unlikely to be comparable to similar measures presented by other reporting issuers. Non-GAAP measures should not be considered as alternatives to net earnings or comparable metrics determined in accordance with IFRS as indicators of RioCan's performance, liquidity, cash flows and profitability. RioCan's management uses these measures to aid in assessing the Trust's underlying core performance and provides these additional measures so that investors may do the same. Additional information on the material risks that could impact our actual results and the estimates and assumptions we applied in making these forward-looking statements, together with details on our use of non-GAAP financial measures, can be found in the financial statements for the period ended December 31, 2024, and management's discussion and analysis related thereto, as applicable together with RioCan's most recent annual information form that are all available on our website and at www.sedarplus.com. I will now turn the call over to RioCan's President and CEO, Jonathan Gitlin.
Jonathan Gitlin: Thanks, Jennifer, and thank you all for joining RioCan's senior management team today. 2024 marked RioCan's 30th anniversary. This milestone provided the opportunity to demonstrate that we put together an irreplaceable portfolio of high-quality properties. 2024 was a watershed year for RioCan, featuring numerous record-breaking results for the trust. We leveraged every opportunity to strengthen our assets, foster strategic growth and create value. We invested in making our business even more fit for the future. We achieved this through technological advancements and a strategic restructuring designed to optimize the organization and support future growth. I speak to you today from a position of strength, with the insights and knowledge gained from our extensive history, clear vision and proven results. I'll spend some time today on packing our results in the context of our strategy and the backdrop in which we are operating. The consistent theme throughout is we did what we said we would do. We achieved record-breaking operational results and capitalized on opportunities to transition lower growth leases into high-quality tenancies. We completed a higher proportion of the condo unit sales than initially projected, and we continue to drive value through rezoning and enhancing existing entitlements and committed we will not initiate new capital-intensive construction projects for the foreseeable future. We access diverse funding sources, kept our payout ratio low, maintained ample liquidity and reduced our net debt to EBITDA within our target range of 8 to 9x. Throughout these achievements, we have held our commitment to responsible growth, sustainability and ethical governance, including receiving an ESG rating upgrade to AA from MSCI, and recording top decile performance for employee engagement for the third consecutive year. We've long noted the scarcity in premium retail space, particularly the kind that comprises RioCan's portfolio. Stringent zoning laws and elevated construction costs are likely to perpetuate the situation. An operating environment characterized by limited retail space and intense demand for high-quality locations creates a protected marketplace favoring a platform of RioCan's caliber. RioCan has the unique combination of a top-tier team and ideal locations within Canada's sixth largest and most densely populated cities. 94% of our income is generated from these major markets. This leaves the trust perfectly positioned to take advantage of the existing market dynamics. It's taken an intense focus and heavy lifting to get to this point in attaining dividends. Here's why. The locations where we are concentrated have exceptional demographics and growing populations. This creates meaningful demand drivers for our space and attracts top-tier tenants. These factors, in turn, lead to exceptional operational outcomes such as those we've delivered. The quest for retail space are more precisely RioCan's space resulted in a committed retail occupancy of 98.7% and a blended leasing spread of 18.7% for the year. 2024 had four consecutive quarters of double-digit leasing spreads. We finalized approximately 4.8 million square feet of leases, including 1.5 million square feet of new leases. The average net rent of the new leases was $26.17. This is 17% higher than RioCan's average net rent. We also further enhanced our income quality during the year, with 88% of our rental revenue now coming from strong and stable tenants. These retailers draw consistent traffic, enhanced cross-shopping experience provides sturdy and growing income and increased asset value. Understandably, there's been concerns about the impact of tariffs on the Canadian economy. Predicting next steps or quantifying the impact right now, while it's virtually impossible. However, I can say that the successful execution of RioCan's strategy has resulted in a portfolio of assets and tenants that, while not totally immune to the impact of tariffs, are certainly well suited to withstand them in any accompanying economic downturn. It's taken extensive efforts to improve the resilience and growth profile of our portfolio. These improvements are to ensure predictability and stability in precisely these types of situations. We also recognize that the condo market is currently under strain. First, it's important to note that we're not relying on the disposition of unsold inventory to achieve our balance sheet objectives. That said, there's been a significant amount of attention paid to the condo units in RioCan's inventory that have been presold. When it comes to these presold units, I do not perceive a material risk. In our last earnings call, it was mentioned that the proof would be in the pudding, when it came to our ability to close condominiums in a challenged market. While I'm pleased to report that we achieved significant success with our condo and townhouse interim occupancies. 98% of the 372 expected fourth quarter interim occupancies have been completed. RioCan expects approximately $530 million of sales revenue from the remaining units at our five active condominium construction projects. Approximately $430 million of the expected revenue or 85% of units have been presold. The vast majority of these condos were sold before the market peak and the closing prices are below current market value. They are also subject to legal purchase agreements with buyers who passed credit checks and made average deposits of close to 20% or, on average, $160,000 each, all of which motivates buyers to complete their purchases. In concert with the factor I just mentioned, our performance thus far augurs well for the remainder of our presold condo units. For RioCan Living's rental portfolio, you'll recall that one objective was to create sufficient scale to provide flexibility and options. This objective was achieved in 2024 with RioCan Living assets valued at over $930 million. The sale of Strada for a price above IFRS value in Q4 2024 highlights and substantiates the immense value of our residential rental properties. As we consider our next steps, we'll continue to benefit from the robust NOI generated by the portfolio. Residential rental operations delivered 5.1% same-property NOI growth in 2024. Ultimately, the RioCan Living platform, whether rental or condo serves as a strategic lever to strengthen RioCan's balance sheet and portfolio and amplify growth in the near future. Before turning the call over to Dennis, I want to emphasize that we aren't just encouraged by the consistently strong results generated by RioCan's high-quality major market, necessity-focused portfolio. Our confidence in the fundamental strength of RioCan's portfolio and platform has led us to buy 3.2 million RioCan units at a weighted average price of $18.51 per unit for a cost of $60 million. The belief is that the market price of RioCan units does not accurately reflect the intrinsic value and prospects of the business, making the purchase of our own units or said better our own portfolio, a highly attractive investment. We funded the unit buyback through the sale of two lower growth assets. RioCan's 2024 results again demonstrate our excellent execution of a sound strategy. We've shown operational strength, improved efficiency and achieved our financial objectives. We've maintained and accelerated positive momentum through fortifying activity that enhances the trust stability and fuels future growth. Consequently, we are pleased to announce that RioCan's Board of Trustees' has approved a 4.3% increase in the distribution payout to our valued unitholders for the fourth consecutive year. Starting with the February distribution, which is paid in March, annual distributions will be increased to $1.16 per unit. With our solid foundation and promising growth prospects, we anticipate continued cash flow growth for our unitholders and sustaining performance in 2025 and beyond. While acknowledging significant macroeconomic volatility introduces a certain level of uncertainty, based on what we currently know, we expect 2025 FFO to be in the range of $1.89 to $1.92 and commercial same-property NOI growth of approximately 3.5%. We also expect to maintain a payout ratio of approximately 60%. We look forward to sharing additional details regarding our vision and strategy at an Investor Day, which will be held on May 21, 2025. To conclude, I'll revisit some of the themes from today's discussion. RioCan has a premier retail portfolio in Canada's most desirable markets. Favorable retail real estate dynamics create long-term demand for our properties, our strategy is anchored in a resilient retail portfolio that ensures steady growth and minimize this risk. We have several mechanisms to drive growth and to accelerate the repatriation of a tremendous amount of capital. We're committed to prudent financial management backed by an excellent team. The deliberate repositioning of our portfolio, tenants and platform has enhanced efficiency, effectiveness and resilience. Our consistency, vision and commitment to responsible growth will continue to benefit our unitholders, while ensuring the trust's stability. And with that, I will turn the call over to Dennis.
Dennis Blasutti: Thank you, Jonathan, and good morning to everyone on the call. This morning, I will focus on providing additional detail on our 2024 results and then our 2025 guidance. 2024 was a very strong year for RioCan, driven by record high operating KPIs. This enabled us to achieve our FFO guidance for the year, with FFO adjusted per unit of $1.81. This figure was adjusted for $7.9 million of restructuring costs that were not factored into our 2024 guidance. These organizational structure changes brought us to a streamlined target operating model that aligns with our key priorities and takes advantage of our technology upgrades. Commercial same property NOI growth, excluding impacts of pandemic related provisions from prior years, was 2.2% for the year. As previously mentioned, this was lower than our long-term target of 3% due to tenant churn earlier in the year that was backfilled with better tenants at higher rents. We have already seen this metric recover with commercial SPNOI growth of 3.5% in the fourth quarter of 2024, and we expect this to remain strong in 2025. FFO for the year also benefited from development deliveries, which added $0.04 per unit. Inventory gains contributed an additional $0.05 of FFO per unit in 2024 when compared to 2023. These increases were partially offset by the disposition of lower quality assets, net of acquisition of high-quality assets, which reduced FFO per unit by $0.04. This is a short-term impact that we believe will drive growth and value going forward. In addition, interest expense net of interest income had an impact of $0.10 on our FFO per unit. 2024 saw continued improvement in our net debt to EBITDA as we remain committed to strengthening our balance sheet. We finished the year at 8.98x inside of our target range of 8 times to 9 times. This has continued its downward trend from 9.51x at the end of 2022 to 9.28 times at the end of 2023, and now below 9 times at the end of 2024. And we expect this steady decline to continue. Our balance sheet strength is further supported by other credit metrics, including weighted average term to maturity improved from three years to 3.7 years. The ratio of unsecured debt to total debt improved from 54% to 56% with a clear path for continued improvement. And we have maintained strong liquidity of $1.7 billion. Overall, our 2024 performance and fortified balance sheet put us in a position to deliver further growth in 2025 and beyond. This brings us to our 2025 guidance, for which I will provide further details on the underlying assumptions. Our FFO per unit guidance of $1.89 to $1.92 is underpinned by commercial same-property NOI growth of approximately 3.5%. I want to reiterate that our guidance does not incorporate the impacts of potential tariffs and resulting impacts on the economy, as those impacts remain uncertain. With that said, we have been through economic disruption many times over RioCan's history, and our portfolio and tenant mix have never been better positioned to weather whatever this brings. We have high confidence in our SPNOI guidance as the benefits of 2024 leasing activity will be reflected in 2025. This confidence is supported by three key factors: First, about half of this growth is driven by contractual rent increases. Another quarter of this growth is driven by the full year in-place occupancy effect of leases that were signed in 2024. The remainder is expected to be driven predominantly by 2025 lease activities with low to mid-teen blended leasing spreads, while committed occupancy is expected to stay at approximately 98%. NOI ramp-up from development completions will further bolster 2025 FFO as we see the full year effect of many of our past deliveries. Condo gains are expected to be in the range of $70 million to $80 million in 2025. These gains relate to presold units from UC Towers 2 and 3, 11YV, Verge and Queen & Ashbridge projects. At the end of 2024, we had approximately $530 million of revenue expected to be received from our in-progress condo projects, which includes approximately $430 million for presold units. We expect to recognize $350 million of this in 2025, all of which are presold as we have not assumed any revenues from unsold units in this 2025 guidance. This leaves about $180 million that we will recognize in future years, $80 million of which is for presold units. We have also maintained cost discipline as our revenues have grown. We expect our G&A expense as a percentage of rental revenue to be approximately 4% in 2025, a steady improvement from 4.2% in 2023 and 4.1% in 2024. The increases in FFO will be partially offset by interest expense and our plan assumes an average interest rate for 2025 financing activities of approximately 5% compared to an average rate on expiring debt of approximately 3%. Our payout ratio is expected to be approximately 60% in 2025, which incorporates the impact of the 4.3% distribution increase announced today. This is well within our long-term target range of 55% to 65% and is the lowest payout ratio among our peers. We expect to be in a position to sustainably increase distributions for the foreseeable future while remaining in this range. This payout ratio allows us to retain approximately $150 million of equity capital each year after funding our distribution and maintenance capital expenditures. This $150 million is available to be reinvested in our business, compounding value over the long term. During 2025, we expect to invest in our business as follows: $105 million to $115 million towards the construction of in-progress condo projects as we near completion of our condo development; $45 million to $55 million for more construction of mixed-use projects as we finalize many of these projects; $65 million to $75 million on retail infill projects that will add density and value to existing retail sites; and $40 million to $45 million for pipeline advancement initiatives in our vast land bank, adding value across approximately 20 projects. Looking out further, committed development spend drops to $12.9 million in 2026 and essentially zero in 2027 and beyond. Turning to our balance sheet. We expect our net debt to EBITDA to steadily decline to the mid-8s by the end of the year with further decline in 2026. Our intention is to continue to pay down mortgages this year to reach a 60-40 unsecured to secured debt ratio by the end of the year. We are already well on our way with our 2025 financing activities, having raised $550 million of debentures this year at an average interest rate of 4.05%. These funds were used to pay down expiring debt leaving approximately $450 million of debt maturities for the balance of 2025. Based on our current liquidity levels, we can meet our repayment obligations for the balance of this year without the requirement to raise any more debt as we have the option to use our undrawn lines. This flexibility allows us to optimize our financing activities and reduce risks in this time of volatility and uncertainty. Overall, RioCan is well positioned to have another strong year in 2025. Our portfolio, balance sheet and team put us on our front foot going forward. We thank our unitholders for their continued support and look forward to delivering strong total unitholder return well to the future. With that, I will turn the call over for questions.
Operator: Thank you, Dennis. We will now begin the question-and-answer session. [Operator Instructions] The first question is from the line of Lorne Kalmar with Desjardins. Please go ahead.
Lorne Kalmar: Thanks. Good morning, everyone and congrats on a nice finish to the year. Just on the condo closing side, obviously, good to see some numbers around that and look to be pretty successful. I was just wondering, are you having to undertake any, I guess, I'd call them alternative arrangements to facilitate the closing of some of these? Or are these clean closings?
Jonathan Gitlin: Hey, good morning, Lorne, it's Jonathan. Thank you for your kind words. The condo closings that we've achieved so far, subject to very limited exceptions of clean occupancies. There are -- there were a couple where we delayed the occupancies or a few that we delayed the occupancies, but very limited concessions or sort of nonstandard measures were utilized in achieving the numbers that we've achieved in Q4.
Lorne Kalmar: Is there anything to indicate that, that would change over the balance of 2025 or no?
Jonathan Gitlin: Hard to say. I don't think it will be. And if it is, I mean, you're talking margins here, you're not talking trends, so -- where -- we've got great partners that typically have a lengthy experience in deals with closing condo units in all different types of environments. And they've got a number of different methods that they use to ensure successful closings. They've been informing us that unlikely that we'll have to use many of those, but it's a volatile market, so we'll wait and see. But we feel confident that the vast majority of the closings will be very much standard in their form.
Lorne Kalmar: Okay. That's good to hear. And then, obviously, you guys were a little active on the NCIB, which was nice to see. With the net debt-to-EBITDA now kind of at the top end of your target range, do you guys expect to remain active over the balance of the year? Or is this kind of a one-off type of activity?
Jonathan Gitlin: Our principle objective is to make sure our balance sheet is in good shape, particularly in this kind of environment, and we will always look to make sure we achieve our objectives with respect to net debt-to-EBITDA, and we've already stated that we want to get that into the mid-range between 8 times and 9 times. And so if we can achieve that, the NCIB would be more opportunistic, meaning that if we see the opportunity to sell lower growth assets similar to what we've just recently sold and convert that into our own portfolio. I think that is something we would definitely -- that -- we would take advantage of. But again, it would only arise if we have the capital coming in through those alternative methods. Right now, our business plan has us really -- I mean the guidance we provided does not take into consideration any additional sales of assets. So if we were to sell assets and have that opportunity then NCIB, certainly to us, seems like a terrific use of capital.
Lorne Kalmar: Okay. Thank you so much for the color.
Jonathan Gitlin: Thanks, Lorne.
Operator: Thank you. The next question is from the line of Pammi Bir with RBC. Please go ahead.
Pammi Bir: Thanks, good morning. Just maybe coming back to the condo conversation, the $70 million to $80 million of profits that you expect this year. Is any of that coming from selling down interest in any of the existing projects like what we saw last year, I guess, on 11YV? Or is this just all on the unit closings?
Jonathan Gitlin: This is all on unit closings, Pammi. And good morning.
Pammi Bir: Good morning. Okay. And then just on that same property NOI guide, 3.5%. Look, I think the operating metrics are moving quite strongly. Is there any large known vacancies or any sort of tenant closures in that figure? And I'm curious if you're -- have any comments regarding tenants on the watch list at this stage?
Jonathan Gitlin: No. That figure is normal course operations. We feel pretty strong that our portfolio is in very good shape. Our list of tenants is in very good shape. And so we don't have any significant gyrations or big vacancies baked into that number. And in terms of tenants on the watch list, it's the normal course, Pammi, where we have some smaller retailers who are -- in the normal course, they will come in and out of Vaughan and some of them are not doing as well. But again, these are around the edges. We don't have any large national retailers on our watch list. But happy to turn it over to John for any additional commentary on that.
John Ballantyne: Yes. I actually don't have any additional commentary on that, Pammi. It's really nobody on our watch list at this point in time, which is always nice to say at the front end of the year. So yes, all good.
Pammi Bir: Okay. That's good to hear. Last one for me, just in terms of the optionality on the multifamily rental portfolio, what can you share in terms of maybe how you're thinking about that at this stage, maybe options you're leading towards, and maybe when we get a bit more of a definitive update on that?
Jonathan Gitlin: Sure. The options, as we stated before, are status quo. It's a great portfolio. It's doing very well for us. Same property NOI coming out of that portfolio, we predict to be higher than that coming out of our retail portfolio. So very stable asset base, and we feel that the NAV per unit based on that portfolio is very strong and will only get stronger as the market for those types of assets gets tighter and tighter. The other options are doing what we did with Strada, which is just a disposition or spin out of some time, whether it's a private or public vehicle. And then, of course, there's just basically diluting our interest down by bringing in other partners. Those are the options available to us. There's definitely some that we favor over others, and we're going to assess that throughout the course of the year and figure out what the best way forward is. But for now, again, it's a very strong portfolio that we're very happy to have, and it is only growing. So in terms of when there'll be more color, I think by the time we have our Investor Day in late May, we will be able to provide a little more clarity on exactly what the plan is going forward. But with respect to the guidance we provided, Pammi, there is no significant assumption around what we're doing with these assets.
Pammi Bir: Thanks very much. I’ll turn it back.
Jonathan Gitlin: No problem.
Operator: Thank you. The next question is from the line of Matt Kornack with National Bank of Canada. Please go ahead.
Matt Kornack: Hi, guys. Good morning.
Jonathan Gitlin: Good morning.
Matt Kornack: Just with regards to the renewal and new leasing spreads that you've achieved in your guidance, sounds like you're still guiding for kind of low to mid-teens, but the rents in place on your 2025 and 2026 maturities are a little lower, and you've been consistently in that kind of $25 to $28. Is that just a composition issue in terms of what's maturing and where it's maturing? Or is there potential upside to kind of the spreads that you're talking about in the guidance?
Jonathan Gitlin: Yes. I think we -- every year, we surprised ourselves and our leasing team has outperformed when it comes to leasing spreads and 2025 might be no exception to that. That's our hope. But we have gone through every lease expiry and we've come up with assumptions that we think are reasonable. And depending on the environment, we might, in fact, have performed, but we feel that the guidance we've provided is again, suitable guidance for this kind of environment.
Matt Kornack: Okay. Fair enough. And then similarly on occupancy, you've been achieving kind of record highs here. There still is a gap between in-place and committed figures, but is it feasible to see kind of reaching that in place -- sorry, the committed figure? Or have we reached kind of a frictional feeling in terms of where you can get to on occupancy?
John Ballantyne: Yes, Matt, it's John Ballantyne. Yes, you will see that gap tighten up over the year. A lot of the leasing we did last year [Technical Difficulty]
Matt Kornack: Hello?
Operator: Please stand by briefly as we reconnect the audio. Once again, please stand by as we reconnect audio.
Matt Kornack: I think I can hear you guys, but I'm not sure if it was my issue or your issue.
Jonathan Gitlin: No, it was a system issue, but we apologize for that. John had provided some of his answer, but I want to give it back just to make sure that there was clarity on that.
John Ballantyne: Yes. I'll just -- I'll repeat what I said, Mark, I hope I can repeat what I said. So you will see a bit of shrinkage between the in-place occupancy and the committed occupancy. Based on a lot of the larger box deals we did last year, mainly grocery uses do take longer to fixture out and for the tenants to build out their space. So over 2025, the in-place occupancy will get closer to our committed occupancy. We do expect our committed occupancy to grow a little bit as well.
Matt Kornack: Okay. No, that's fair. And then maybe a last quick one for Dennis on the accounting side. Can you give us a sense as to where straight-line rent will trend? I know that you're converting kind of some of these leases to cash rent over the year, but it was a bit higher this quarter than I think we were forecasting.
Dennis Blasutti: Yes. I think it will trend down side in 2025 as those leases convert to cash rent as you'd expect. So I think you're going to see it come down but not all that material.
Matt Kornack: Okay. Fair enough. Thanks, guys.
Operator: Thank you. The next question is from the line of Mark Rothschild with Canaccord Genuity. Please go ahead.
Mark Rothschild: Thanks and good morning, guys. Maybe just following up with some of the discussion on the renewal spreads. They've actually been quite strong and better than most or all of your peers, and it seems like you're guiding a continuing in this new year. Is that coming from just where market rents are? Is there anything regarding the leases that are expiring that are impacting that? Or is that just simply what the gap is between the market and place the portfolio?
Jonathan Gitlin: I think it's a combination of all those things. We have a lot of -- our average rent across the portfolio is about $22, and it's well below what we think market rent is. So we're trying to bridge that gap in every renewal or new lease discussion we have. And I think our leasing team is doing a good job. Moreover, our portfolio has improved substantially. So we think that, that is a good catalyst for a lot of tenants seeking great space. They're going to be after our space and I think, willing to pay for it. And finally, I think it's just the reflection of the fact that there is a lot of need for brick-and-mortar retail space. And so we're having competition on a lot of the space that we have available, which is quite limited, as you can see from our occupancy numbers, and that allows us to drive rent. So it really is a concert -- a number of different elements that come together to make for a pretty good market.
Mark Rothschild: Okay. Great. Thanks. And maybe just one more. You spoke about buying back units, and it seemed like it tends more on what you sell, if you sell some lower-yielding assets maybe that aren't core. To what extent is it also impacted by the market as far as what the discount to what [indiscernible] is? Obviously, the REIT market has been somewhat soft. Does that play a factor in this decision? Like would you maybe say in the near term to allocate more capital to the buybacks, reducing leverage or rate and distribution if the unit price remains where it is?
Jonathan Gitlin: Again, the primary objective is to make sure our balance sheet is strong. So that will always be our first priority. With respect to the distribution as long as we can maintain a payout ratio within that approximately 60% bandwidth, then we'll do what we can to raise our distribution and provide some sort of reward to our unitholders. But again, that will only come if we can maintain that consistent payout ratio. So it really -- the NCIB for us is opportunistic, and it is based on what we can -- where we can recycle out of assets and put that money back into our own assets, which we all feel very strongly about their growth prospects. But of course, Mark, that does depend on the stock price. Right now, at the current pricing, you're looking at an FFO yield of 10% or an AFFO yield of 9%, that's a really good number. And we feel very strongly about taking advantage of that while that exists. If that -- if the market turns and comes to its senses to realize the inherent value in RioCan and we trade closer to what we feel our NAV has been, the NCIB opportunity does not become as attractive as it currently is. So I hope that provides you with color. But in the current state of affairs, we very much like the opportunity to buy back our own portfolio.
Mark Rothschild: Okay. Great. Thanks so much.
Jonathan Gitlin: Thank you.
Operator: Thank you. The next question is from the line of Sam Damiani with TD Securities. Please go ahead.
Sam Damiani: Thanks. Good morning and congratulations to everyone on a great finish to the year, great operational results. First question for me just on -- I think the comment, Jonathan, you made earlier. If I heard it correctly, so there's no dispositions built into guidance, but does that mean like there's not any intention to dispose more assets either in or outside the RioCan Living portfolio in 2025?
Jonathan Gitlin: I wouldn't say that it's like such a straightforward answer, Sam. There is -- we don't want to make any assumptions on market-driven activities. And so, we've been quite conservative in our viewpoints. I mean if you're ever going to sell an asset, whether it's a RioCan Living asset or just a straightforward income-producing property in our retail portfolio, it's just hard to assume what you're going to sell in a market as volatile as this, although we do think that our assets are very strong and there is a sizable market for it. We didn't want to make any assumptions. And we feel that the core business is very strong and will produce very good results without having to do anything on the disposition side. So we haven't put any of those assumptions into our business plan. That said, we are assessing all of our options with respect to RioCan Living, as I've made clear. And if we come to a conclusion that we feel we will execute on in 2025, it will have an impact on the outcome of the year, probably a positive one. But again, we'll provide more clarity on that as the year comes into play. So I wouldn't give you like a binary answer like absolutely not, we wouldn't sell or transact or monetize any of the RioCan Living assets, but I'm also not in a position to say that we absolutely would, such that we would put it into our assumptions for the year.
Sam Damiani: Got it. Makes sense. And next question is just on the new leasing spreads, which once again were pretty fantastic, over 50% just like in Q2. You -- maybe enlighten us as to how that metric is calculated? Is it measured on a same-space basis? Or is it kind of apples and oranges based on the spaces leased and the spaces vacated? Just curious if that -- how representative that is of kind of the broader portfolio, going forward? I recognize there was an anomaly with the Canadian Tire lease in Q2. I assume the Yonge Eglinton Centre lease may have driven the spread up in Q4.
John Ballantyne: Sam, it's John. Yes, I mean, it's a very basic calculation. We just compare to the rent paid by the previous tenant at the end of their term versus the rent paid at the beginning of the term for the new tenants. Are there anomalous deals in there? I would say, yes, there is a few. But I would say that, that's kind of standard for the market right now. And again, as Jonathan said, there's such a mark-to-market between our average rent per square foot and what we believe market to be, you can expect more of these anomalous deals to happen.
Sam Damiani: Okay. Great. That's helpful. And last one for me. I guess just on the distribution bump, which was great to see, especially in conjunction with the buybacks, but choosing to increase at over 4% this year versus just under 3% last year. Was there a reason to go to that extra larger bump? And is that like a pace at which you see as being sustainable?
Jonathan Gitlin: It's really just a reflection of our FFO growth. And again, if we can keep within that 60% -- approximately 60% payout ratio, Sam, we will look to or recommend to our Board that we raised distributions lockstep. So there was no real science behind why it was 3% last year and 4.6% this year. I think it's really just -- it's just of how our FFO grew. Long-term range of 55% to 65%. Yes. That's why we'll continue to do it if we can stay within that range.
Sam Damiani: That’s great. Thank you. Turn it back.
Jonathan Gitlin: Thanks, Sam.
Operator: Thank you. The next question is from the line of Mario Saric with Scotia Capital. Please go ahead.
Mario Saric: Good morning. Just a couple of quick follow-ups for me. Just on the lease spreads in 2025, that continue to appreciate the extra closure you provide on lease rules between fixed rate and market rate deals in Q4, it looks like 91% of leases give or take, went to market rate compared to 71% for all of 2024. What does that percentage look like in 2025 in terms of that low to kind of mid-teen lease spread?
Dennis Blasutti: Yes, it's going to stay in around that 30% to 35% range that we've seen over the last few years, Mario. Of course, we can have anomalies quarter-to-quarter. So there can be volatility in that metric on a quarter-to-quarter basis, but let's call it a rolling 12-month basis, should be in around that 30%, 35%. I think John did mention that there are some of the anomalies that we have in front of us over the next few years, including in 2025 could be around getting some of those fixed renewals back and being able to take those to market. That's a good opportunity for us going forward.
Mario Saric: Got it. Okay. My second question just look to the RioCan Living book value which came down $0.2 billion, quarter-over-quarter to $0.9 billion, which presumably includes the sale of Strada during the quarter. Were there any changes in terms of cap rates, discount rates or forecast NOI, sequentially?
Dennis Blasutti: Yes. So I think the first thing I would mention is that, that number that was in our press release actually excludes the put value related to particularly Queen & Ashbridge. That's part of the change. There was, of course, the sales strategy you mentioned, and some kind of small fluctuations in our valuations that was related to just performance as we see around vacancy rates and a few things there, which would be around $30 million.
Mario Saric: Okay. So if I think the equity in Q3 was $415 million, [indiscernible] on an apples-to-apples comparison, that number will be closer to 35 today, all equal?
Dennis Blasutti: Yes, that's all right.
Mario Saric: Okay. Thanks, guys.
Jonathan Gitlin: Thanks.
Operator: Thank you. The next question comes from the line of Rohit Gaurav with BMO Cattle Markets. Please go ahead.
Rohit Gaurav: Thank you. Good morning. So a couple of quick ones for me. First on impact of tariffs on guidance. So your outlook doesn't factor in the impact of tariffs, which I know can be tough to predict. But have you done any sensitivity analysis to gauge potential arrays? And how are you thinking about adjustments if tariffs too come into play?
Dennis Blasutti: Sure. So we -- as I said, we specifically did not include any tariff adjustments in our outlook. It's really hard to predict. I think in different analyst reports that I've seen or different [indiscernible] reports I've seen probably more than 15 different potential scenarios. If we look at economic downturns historically for RioCan, like, for example, back to the great financial crises, we would have seen about 100 basis points decline in occupancy at that time. With that said, our portfolio and tenant mix is much better now than it was then. So we would -- but we could see some impacts there. The offset or call it a bit of a natural hedge that we have in our income is that all of the predictions that I've seen around a slowdown in the economy are often accompanied with a decrease in interest rates, which would then have a pretty nice offset to any impacts there. So it's very hard to predict. We certainly run a lot of scenario analysis as you can imagine, internally. But part of it is our portfolio is in great shape. Our tenant mix is in great shape. And there's a natural bit of offset with interest rates to think about as well.
Rohit Gaurav: Got it. Thank you. And second one on proceeds from condo sales and dispositions. So you have already completed $32 million in dispositions last year and have more underformed conditional agreements. So where do you see those proceeds going? And just on the condo sales side, I know a big chunk will go towards paying off construction loans. So what's the plan for the rest in 2025?
Jonathan Gitlin: Right now, our business plan has the majority of that going to just pay down debt and improve our balance sheet.
Rohit Gaurav: Okay. Got it. Thank you. I’ll turn it back.
Operator: Thank you. I'm showing no further questions at this time. I would now like to turn the conference back to President and CEO, Jonathan Gitlin.
Jonathan Gitlin: Thanks, everyone, for tuning in, and we look forward to seeing you all at our next get-together in May.
Operator: This concludes today's conference call. Thank you all for your participation. You may now disconnect your lines.